Operator: Good morning, and welcome to Crown Holdings Fourth Quarter and Full Year 2012 Earnings Conference Call. [Operator Instructions] Please be advised that this conference is being recorded. I would now like to turn the call over to Mr. Timothy Donahue, Executive Vice President and Chief Financial Officer. Mr. Donahue, you may begin.
Timothy J. Donahue: Thank you, Shirley, and good morning to everybody. Welcome to Crown Holdings Fourth Quarter and Year-End 2012 Conference Call. With me on the call today are John Conway, Chairman and Chief Executive Officer; and Tom Kelly, Senior Vice President of Finance. Before we begin, I would like to point out that on this call, as in the earnings release, we will be making a number of forward-looking statements. Actual results could vary materially from such statements. Additional information concerning factors that could cause actual results to vary is contained in the press release and in our SEC filings, including comments in the section titled Management's Discussion and Analysis of Financial Condition and Results of Operations in Form 10-K for 2011 and in subsequent filings. A reconciliation of generally accepted accounting principles to non-generally accepted accounting principle earnings can be found in our earnings release. And if you do not already have the earnings release, it is available on the company's website at crowncork.com. You will also find a reconciliation from net income to EBITDA, credit ratio computations and supplemental cash flow data on the company's website. We will review performance for the year, update guidance and then turn the call over to John for his comments. After John's comments, we will open the call to questions. [Operator Instructions] 2012 diluted earnings per share were $3.75 compared to $1.83 in 2011. On a comparable basis, diluted earnings were $2.81 in both 2012 and 2011. The fourth quarter comparable diluted earnings per share were $0.51 against $0.48 in the 2011 fourth quarter and reflect lower inventory levels than earlier anticipated. On a currency neutral basis, full year net sales were slightly ahead of 2011, as higher global beverage can unit sales offset lower sales in European 3-piece packaging and the pass-through of lower raw material costs. Fourth quarter net sales were 1% short of the prior year as raw material pass-through offset overall net unit volume gains. There was very little currency impact in the fourth quarter. But for the year, currency had the following unfavorable impact on the net US dollar sales of our segments: $70 million in European beverage, $130 million in European food and $36 million in non-reportables. Full year unfavorable currency impact on segment income, as noted in the release, was $21 million and by segment was $6 million in European beverage, $13 million in European food and $2 million in non-reportables. Currency had a negative $0.09 per diluted share impact for the year. Globally, beverage can sales were up 5% for the year as growth in Latin America, Europe and Asia-Pacific all offset a decline in North America. As noted throughout the year, volumes in our European 3-piece packaging businesses, that is food can enclosure, aerosol can and specialty were impacted by poor weather and a persistently sluggish European economy. As we described in October, we did adjust our production schedules significantly to rightsize inventory levels by year end. As we look ahead to 2013, we expect continued strong unit volume performance in global beverage and more normal weather in Europe, with a resultant recovery in food can unit volumes. The European aerosol business is expected to show income improvement on the back of the 2012 restructuring, despite the impact of a continuing weak economy. Segment income at $187 million was down $5 million from the fourth quarter of 2011 and reflects under-absorption of costs from lower production levels, lower unit volume sales in European 3-piece and new plant start up costs in Asia. In Americas, beverage revenue for the quarter and year was right on top of 2011 levels, reflecting overall unit volume growth of 1% in the quarter and more than 2% for the year, offset by the pass-through of lower aluminum costs. Volume in Brazil, Colombia and Mexico continued to be strong, up more than 16% for the year, offsetting a 1.5% decline in North America. The overall Brazilian market was up 7% in 2012, with our share of the market growing to almost 26% on the back of investments made in 2009 and 2011. We expect another year of high utilization rates in each region across the entire segment, with improving productivity in 2013. Our North American food business had another strong performance in the fourth quarter and for the year, and clearly remains best in class. Cost reductions from the prior year restructuring and productivity offset lower volumes. Fourth quarter sales in European beverage were 2% below the prior year, primarily from the pass-through of lower aluminum costs. Unit volume growth was notable in Greece, Slovakia and Turkey, offsetting softness in Spain and the U.K. We opened a new plant in Osmaniye, Turkey during 2012 and plant performance is coming up the learning curve on schedule. Segment income was up significantly in the quarter and reflects favorable mix and better cost performance, notably in Slovakia. Sales in European food were down 6% x currency in the quarter. Overall unit volume sales were flat in the quarter, with softness in Germany, Eastern Europe and the U.K. being offset by higher shipments in France and Italy. There was no currency impact, but unfavorable mix and some price compression affected segment income performance in the quarter. Unit volume sales in Asia-Pacific were up 10% in the quarter, as demand remained firm throughout Cambodia, China and Singapore. Segment income performance in the quarter benefited from volume growth, albeit offset by costs associated with numerous startups and a competitive environment in China. During 2012, we began commercial operations at 3 new plants in China, expanded 1 of our plants in Vietnam and completed a major modernization program for the plant that we acquired in Vietnam. We currently have 5 major projects underway in Asia, which will be completed over the course of the first 3 quarters in 2013. These include the 3 new plants, 1 each in Cambodia, Thailand and Vietnam, and the addition of second beverage can production lines to existing facilities in Fujian, China and Malaysia. So it will be another year of heavy activity for our Asian management team, who will grow their business to more than $1.3 billion in revenue in 2013, almost double the $700 million recorded in 2010. We have managed this growth extremely well, while continuing to provide exemplary service as their customers build their own brands throughout the Asia Pacific region. As provided in last night's earnings release, Asia-Pacific is now a reportable segment. The non-reportables now include aerosols, Specialty Packaging and our equipment business. With the manufacturing operations in Cambodia, China, Malaysia, Singapore, Thailand and Vietnam, the segment serves the entire Asia-Pacific region and continues to grow its sales and income and in importance to the company. One of the many positive features of the metal can industry is that our equipment, properly maintained, will function effectively for a long time. We recently completed a review of depreciable lives with external advisors, which Tom will now discuss.
Thomas A. Kelly: Thanks, Tim. As Tim mentioned, we recently completed a study evaluating the estimated useful lives over which we depreciate our production equipment. Based on the results of this study, and beginning in the first quarter of 2013, we are increasing the estimated useful lives on production equipment to 18 years from the 10 to 14 years we previously used. We think these new estimates better reflect the useful lives of the equipment and are in line with other industrial and packaging companies. 2013 earnings per share guidance, that we will provide on today's call, includes annual depreciation expense of approximately $160 million that's been calculated in accordance with the new policy. The net impact on 2013 earnings per share from this change, after tax and noncontrolling interest, is approximately $0.04 per diluted share per quarter. Tim?
Timothy J. Donahue: Thanks, Tom. We ended the year with net debt of $3.3 billion, up $125 million from 2011 due to fourth quarter acquisition activity and currency. For the year, we purchased $257 million in company common stock or 7 million shares. Liquidity and credit quality remained strong. We ended 2012 with an excess of $1.4 billion of cash and availability under our revolving credit facility. Net-debt-to-adjusted EBITDA ended the year just above 3x and interest coverage at 4.8x. Early in 2013, the company issued $1 billion of 10-year senior unsecured notes due in 2023, at par, to yield 4.5% at issue. Proceeds of the refinancing were used primarily to retire existing debt, which extends our maturity profile at a very attractive rate. For the year, net interest expense was $219 million and should be similar in 2013. Our tax rate from ongoing operations was 25% in 2012, slightly below our earlier projections due to positive country mix. For 2013, we currently forecast a tax rate in the range of 26% to 27%. We had another year where asset performance and our pension plans outpaced assumptions, more than offsetting another decline in the discount rates. Pension expense, which totaled $98 million in 2012, is currently projected to be $77 million for 2013. Past contributions for pensions in 2013 should be about $20 million below 2012's $103 million, with the U.S. plants currently projected to have a funding holiday at least for the next 3 years. Net of the insurance proceeds used to rebuild beverage can capacity in Thailand, net capital expenditures totaled $278 million in 2012 and are currently projected at $230 million in 2013. Free cash flow for 2012 was $345 million, a bit above our earlier estimates. But in the cash flow statement, the $100 million usage in working capital is comprised of $40 million in restructuring cash, with the balance being an increase in trade working capital, mainly the result of 4 new plants being added to the system. Deferred taxes and other includes $28 million of asbestos payments and $92 million of cash taxes paid. We currently estimate $500 million of free cash flow for 2013. At this time, we project full year 2013 comparable earnings per share at current exchange rates to be in the range of $3.20 to $3.40 per share compared to $2.81 in 2012. First quarter 2013 comparable earnings are currently projected to be in the range of $0.45 to $0.50 per share compared to $0.46 per share in the first quarter of 2012. And with that, I'll turn it over to John.
John W. Conway: Thank you, Tim, and good morning. As usual, Tim, aided by Tom, did a thorough job in reviewing the quarter and describing to you briefly our expectation for 2013. Everything considered, we think we had a solid year. Our operations around the world continue to improve. In fact, we showed operational improvement in terms of better efficiencies, lower spoilage and lower unit cost. The poor weather in Europe, particularly in the United Kingdom, Italy and France, was disappointing. However, the food can business depends on customers having reasonably good growing seasons, so we reacted quickly when we saw that the weather was going to disrupt demand. The strong free cash flow generation for the year supports the fact that we acted properly to the situation. As you know, we've had an ambitious capacity expansion program underway for the past number of years, focused primarily on beverage cans in the emerging markets of Latin America, Eastern Europe and Asia Pacific. These capacity additions generally went very well over the course of 2012. Brazil performed strongly and will grow further in 2013. Columbia and Mexico also had good performance. In 2012, our new Slovakian plant finished its first full year of output on its 2 high-speed beverage can lines, and will increase production and sales in 2013. Asia-Pacific continued to grow strongly. Crown's beverage can sales in Asia-Pacific increased 16% for the year and we gained market share. Our decision during 2012 to scale back capital expenditure in China was the right one, and reflected slowing demand growth. However, it is well to keep in mind that 2-piece beverage can market demand in China did, in fact, increase in 2012 by 13%. We expect market growth of 16% in 2013. Across the Asia-Pacific region, we expect 2-piece beverage can market growth in 2013 at 14%. Crown will do better than that. As Tim noted, we believe that in 2013, our European food can business will return to a more normal demand year, that is we anticipate less adverse weather conditions and that our customers will resume normal filling levels as a consequence. Looking ahead, we believe that can demand in all of our markets will be solid, with continuing significant growth in the emerging markets. We have been fortunate that our capacity additions have gone smoothly and on budget, and that all of the markets in which we have been making investments have continued to grow nicely. As a consequence, we think that we have laid a foundation for the future, combining improving operations, cost efficiencies, cost savings from efficiency improvements and restructurings and unit volume growth in our beverage can business globally. Tim noted our expectation of $500 million of free cash for the year. Again, this is the result of steadily improving our mature businesses' performance and realizing increasing cash from our newly installed capacity. In sum, 2012 was a solid year, particularly given conditions in Europe, and we think 2013 will be even better. And surely with that, I think we're ready for questions.
Operator: [Operator Instructions] And our first question comes from Adam Josephson with KeyBanc.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: In China, how much growth do you think the market needs, such that supply and demand will be in balance? And when do you expect the market to reach that point? I know you said you expect the market to grow by about 16% this year.
John W. Conway: It's a tough question. Let's combine the 2, '12 and '13, so with that compounding, we think the market is going to be up almost 30% -- 27%, I think added, but let's say, call it 30% over 2 years. And clearly, capacity is being added. We've added a fair bit of capacity. And others -- some others have done the same, not all. I think there are a couple of things you got to keep in mind. First of all, geographically, we're a huge country. So we've tried to be very careful about where we've gone, so we don't create regional imbalances or minimize regional balances. Everybody comes up learning curves differently. Everybody installs somewhat different capacity in their plants. Everybody runs, more or less, effectively. So it's a real tough question. But my view is, with the market that's been growing 15% to 20% year-on-year, and we think it's going to continue, possibly accelerating, undoubtedly, you're going to have periods of price choppiness, regionally and typically in a country as big as that. The overall direction is upwards. So the reason that we cut back on our capacity additions in 2012 was simply, we felt we're getting a little ahead of ourselves and ahead of the market. The market slowed a little bit in '12 versus prior years and so we cut back. We think we did the right thing. But we're not alarmed by capacity additions in China, we think it's absolutely natural.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: Got it. Okay. And just my other question, John, you talked about the potential for improving your returns by adding second lines to your existing plants because the cost of the second line is much lower than the first. However, given that a few of your plants that can accommodate a second line are in China, and given the overcapacity there, when do you expect to realize the benefits of adding those second lines, generally speaking?
John W. Conway: I think within the next 5 years. I mean, you just need a few more years of growth in there in the neighborhood of 16%, 17%, 18% in China and there's going to be more capacity needed.
Timothy J. Donahue: And keep in mind, Adam, one of the projects we have scheduled to come up very early in 2013 is the second line addition in Fujian.
Operator: Our next question comes from Scott Gaffner with Barclays.
Scott Gaffner - Barclays Capital, Research Division: Just sticking on Asia-Pacific here for a minute. We talk about China a lot, but as you mentioned before, you're -- right, you're in China, Thailand, Vietnam and many other countries, and China might be the largest for you, but you also have significant presence elsewhere. Can you sort of parse the commentary on price pressure in Asia-Pacific by region? Is it mostly in China or is it spread across the region?
John W. Conway: Yes. I think the pricing pressure in, let's say, the latter half of the year and certainly in the fourth quarter, was pretty much confined to China. In Southeast Asia -- the balance of Asia for us, all those countries that Tim listed, x China, we have about a 50% market share. And essentially, we're the leading beverage can maker in virtually every one of the countries that we're in, not virtually, in every one of the countries that we're in. So the price cost was solid there, the growth obviously was substantial in Southeast -- in that region. Non-china growth, for example, for the year was 17% -- or rather, I'm sorry, let's see -- okay, between 10% and 11%, that's right. No, no, no, I'm looking at so many numbers. Growth was 19%, unit volume growth in those countries was 19%. So you can see right there that no price issues in Southeast Asia. The choppiness was China.
Scott Gaffner - Barclays Capital, Research Division: Okay. And then just looking at the pricing, is it on existing facilities or more on the newer facilities coming online? Is there some contrast there?
John W. Conway: No, generally speaking, a can is a can. So I think the issues tended to be more regional than associated with capacity.
Timothy J. Donahue: Just a clarification to your comment that China may be our largest country. It maybe the largest, its very close with one of the other countries, but it represents about 1/3 of our beverage can output in Asia.
Operator: Our next question comes from Chris Manuel with Wells Fargo.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: A couple of questions for you. First, when we think about -- you announced a couple of acquisitions this morning or were embedded within there. Can you give us a little color on those as to sizes, revenues they add, things of that nature? And what you anticipate doing with them?
John W. Conway: Yes. The Superior Multi-Packaging, I think we noted is about $130 million in sales annually. It's predominantly a paint can, industrial and household use metal packaging company in Singapore, China and Vietnam. And our plan is to continue to expand it and expand its product lines. With the equipment it has and the factories it already has established, we think we can easily, over the years, add food and aerosols. And so that's the thinking. As to the Vietnamese plant that we mentioned, it was an independent Vietnamese company that owned 2 can plants, one in the North, one in the South. The one in the South, they decided was not strategically important to them. Their industrial activity is essentially in the North of the country, and it's a really great fit for us is because it's literally, immediately adjacent to another beverage can plant that we had in Dong Nai. So that -- we had basically -- we would end up here in a couple of years with a 4-line can plant and end making in a very large industrial facility. So we're great. Their sales, I think, when we acquired it, were on the order of $40 million -- $30 million, $40 million. Fairly small, they hadn't done very well, but we're building it out and we expanded it, as Tim mentioned in his comments.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: A second follow-up question I had. You talked a little bit about some price issues in China. In the past year or so and in the past few quarters, there have also been some price pressures in select parts of Europe. Could you -- just a little more color there as to how you feel with respect to pricing in Europe. Is there -- are those issues largely behind you? Are you able to start to recover or what have you?
John W. Conway: I think beverage, Europe, pricing was very firm in the fourth quarter. So sometimes in Europe, you might have some seasonal discounting and special deals, et cetera. There's virtually none of that. We think supply, demand in Europe is quite tight. We know it is and so our plans, and we've been putting them into effect and they have been effective, is that we think we have an opportunity for margin improvement through price in Europe for 2013. That's the plan, it's underway and it appears to be working.
Operator: Our next question comes from George Staphos with Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: Two questions. One on Europe, I may piggyback a little bit on Chris' question, and one on capital deployment and use of cash. In Europe, can you comment on how negotiations have gone thus far and the outlook for food can pricing? And then, overall, I think you mentioned, we've heard that you have some restructuring opportunities in Europe, can you comment a bit there? And then on the use of cash, can you update us on your views in terms of repurchases, the potential for dividend at some point? I realize that's a board decision, but any thoughts would be welcome.
John W. Conway: George, why don't I do European food can pricing, then Tim will do the balance of the question. We think the price cost is going to improve year-on-year in Europe, but the pricing environment is still difficult. We're anticipating, however, that -- as we said in our comments, that more normal weather patterns. We know that our customers in Italy, France and the U.K. in particular, who were down quite a bit as a consequence of the weather, need to restock and build inventory, and they're planning to do that. And we're counting on the weather cooperating and of course, that's helping somewhat on the price cost front. But it's still quite a competitive environment, but improving. And we are largely through price negotiations in Europe and so we're reasonably confident of what I'm saying. But Tim, you might want to carry on.
Timothy J. Donahue: To answer the second question, George, I think if you look at the last 3 years, 2010 to 2012, post the '08, '09 recession, we've repurchased each year about 7 million or 8 million shares. So a significant proportion of the company's free cash has been returned to the shareholders over that time. And we've used additional leverage to accomplish other corporate goals, be they small acquisitions or otherwise. I think, given the company's free cash flow guidance that we provided earlier, that you should consider that, again, we will use a significant portion of the company's free cash to return to shareholders, be it in the form of share buybacks and/or dividend. And as you say, the dividend is a board decision and that's an ongoing dialogue that occurs at each board meeting as to the appropriateness of the timing and the potential of such a dividend.
John W. Conway: And as for restructuring, George, just to finish up. The restructuring that we're going to be doing in, principally, the European food can business, is moving ahead. The returns are quite good. I wouldn't say that we're finished restructuring in our metal and steel packaging business in Europe, food, aerosol, spec pack, but we largely are, or will be by the end of the year. So I think we feel real good about the cost improvement in our asset base that's going to result in that. The whole program has gone smoothly and continues to go smoothly.
Operator: Our next question comes from Ghansham Panjabi with Robert W. Baird.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: On earnings guidance, there seems to be a healthy growth rate projected for full year '13 EPS, but the first quarter seems to be an outlier, just based on the run rate trends. Are there any specific one-offs especially [ph] in the quarter?
Timothy J. Donahue: No. It's typically, as you know, it's a smaller quarter. But it will be -- we have to [ph] touch over last year and we'll see how it progresses.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Okay. Because it is -- at the midpoint, the earnings forecast is for flat earnings, right? For the quarter? Versus your full year, which is up high-single digits, low-double digits.
Timothy J. Donahue: Yes. It's just a small quarter, it's early in the year. Let's see how it progresses.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Okay. All right. And then for your Asia business, you called out start-ups and pricing pressure. Can you kind of quantify the EBIT impact of each per quarter?
John W. Conway: I'm sorry, what -- the pricing pressure I heard, what was the other?
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: And the start-up, start-up costs.
John W. Conway: Well, we can try a little bit with start-ups, I suppose, for the past year. Tim, you want to take...
Timothy J. Donahue: I don't have a quarterly number. I can tell you that start-up for the year was around $12 million or $13 million, but I don't have a quarterly number for you.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: And then the pricing pressure?
John W. Conway: Well, pricing, we're going to be up sharply, substantially, throughout the region, including China year-on-year. So it had a small effect for us in the quarter, but it wasn't terribly large. Most of our business is multiyear contract, but not all. And the pricing pressure was more in the almost seasonal spot, if you will, quarterly, monthly business.
Operator: Our next question comes from Alex Ovshey with Goldman Sachs.
Alex Ovshey Ovshey - Goldman Sachs Group Inc., Research Division: For the Asia segment, I think you gave us a revenue number for '13, $1.3 billion. Can you provide some incremental color on just how to think about the margin for that segment and how you see that developing over the next couple of years, as you're fully ramping the plants out there?
Timothy J. Donahue: Well, I think the absolute margin is obviously going to expand. The percentage margin will obviously be impacted by 2 things. In the near term, start-up costs to complete the projects and a little further out, the removal of those start-up costs. Obviously, on a percentage basis, it's hard to look at percentage all the time because, depending on what aluminum does, up or down, you have the denominator effect. But the bigger item will be the Superior Multi-Packaging business that John described. Obviously, it's a lower margin business than our existing food and beverage can business. And as we fold that in and make improvements to that to get that margin up to acceptable levels then, obviously, it might have some small drag. But certainly, in absolute terms, we're expecting a healthy increase in 2013 in the segment from 2012.
Alex Ovshey Ovshey - Goldman Sachs Group Inc., Research Division: Just on share buyback. In the past, I think you've bought more shares back in the back half of the year. Given the free cash flow profile is somewhat more robust than what we've seen there in the past, should we expect a more smooth share buyback progression throughout the year?
Timothy J. Donahue: I think this year you should. We'll see how it progresses, but I think that's a fair assumption for this year.
Operator: Our next question comes from Phil Gresh with JPMC.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: Just on the guidance. I'm wondering how restructuring saves are playing into your outlook. I think, when you did your initial restructuring program at the end of '11, you had called out $35 million of potential saves there. I'm wondering, are we seeing the full impact of that in 2013 or how are you thinking about that right now?
Timothy J. Donahue: Well, we certainly saved. We had large cost reductions this year in European food and aerosol in the back half of 2012. We'll get the full year impact in 2013 from the plants that were closed early to mid-2012, and we expect -- there's nothing that tells us that we shouldn't expect to continue to realize those savings. Obviously, the pressure that we've had, the economic pressure that we and many companies had in Europe, offset some of those savings. But the savings are there. It has to do with how much of that savings falls to the bottom line or is offset by the economic pressure, as you're well aware of.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: Any way to quantify how much was -- of that $35 million was in 2012?
Timothy J. Donahue: About $10 million? No, in 2012. We only -- because we...
Thomas A. Kelly: Yes, yes, yes. I think $7 million to $9 million.
Timothy J. Donahue: $7 million to $9 million, Tom says.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: Got it. Okay. And then the second question is -- sorry to belabor China, but for the business that is annual contracts, I forget what percentage that is for you, but you talked about some seasonal pressure in the fourth quarter, but I know that a lot of local players there are annual contracts. So maybe you could just talk about how that's progressed and whether there is kind of a step function lower into '13 around some of those annual contracts.
John W. Conway: Well, just a repeat of what we've said. There was price pressure in the fourth quarter. It's going to carry over to a degree in the next year. We're fortunate though because our unit volumes are growing so sharply, and also because we're coming out of the learning curve in these new plants that Tim mentioned. And simply getting out of a loss-making position on the learning curve into a positive position is going to have a dramatically improving effect on our China business. And so there will continue to be some price pressure over the course of the year. I think it will abate as we carry on, as the market continues to grow. It's a big country. Its a big market. It's got rapid growth and it's got a lot of players, and people adding capacity, it's going to be choppy. But the fundamental direction is up. So I mean, we're really pleased with China. We're happy that we didn't carry on with all the projects that we planned, but we're really pleased with the ones that we've done. And it's going to be great for us. I mean, look, Tim mentioned, they had about $700 million of sales in 2010 in Asia-Pacific. We're going to be $1.3 million, at least, in the upcoming year, as the plants that we built, as they come fully up the learning curve, start running well over 90% efficiency and so on. And then as we increase capacity, it's going to be a great story for Crown. I couldn't be more pleased with it. But, it's going to be a little difficult as you go along.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: So just to be clear, it doesn't sound like you expect price to get worse in '13 relative to what you saw in the fourth quarter?
John W. Conway: No, absolutely not.
Operator: Our next question comes from Philip Ng with Jefferies.
Philip Ng - Jefferies & Company, Inc., Research Division: I just want to get your thoughts on Brazil. I mean, the focus on this call has been China. But I just want to see what your thoughts are in terms of demand and demand supply as well since some of your competitors are adding a little bit of capacity in 2013.
John W. Conway: Yes. We have the market in Brazil, and we think our numbers are pretty good, up 7% year on year, '12 over '11. We think it will be up between 6% and 7% on '13 to '12. We think the trends are all very good in Brazil, underlying economies are still doing reasonably well. Everybody, that's all the beverage companies, alcoholic and non-alcoholic, continue to grow. One of the really good things that's been happening for the last number of years and it continues on, is that the brewers favor cans. Package mix continues to move more and more from glass to cans. And so we look at the capacity that's been added and the market growth, and even the new capacity that's been recently announced, and we think the market is going to continue to be tight for the next 3 to 5 years.
Philip Ng - Jefferies & Company, Inc., Research Division: Okay. That's helpful. And then just switching gears towards Europe. I think you mentioned that you're expecting a more normal seasonal pack in Europe on the food side. What about your thoughts on -- about aerosol? Is that starting to stabilize a little bit here? And in your Bevcan business in Europe, in terms of demand, for 2013?
John W. Conway: Yes, it is. Aerosols, we think we're going to have a good year. We'll get the benefit, a big benefit, from the cost restructuring that we did in '12 for aerosols in particular, and demand seems to be firming quite a bit. I would characterize, just quickly, and let's talk about all of them. The food business, we think is stabilizing and will improve for the reasons we talked about. Aerosols is going to improve, substantially, for the reason we just talked about. I think our spec pack business will continue to be soft year-on-year. So a lot of industrial containers, paints, chemicals, et cetera, and we're anticipating that demand for those products is going to continue to be strong -- or weak rather. So that's going to be a tough one for us. In terms of unit volume growth, we think the European market will continue to grow 3% to 5% a year for beverage. And as I said, the market is going to be tight. We're not adding capacity. We're not aware of anybody is -- who is. So I think everybody says, I'm just going to run a little better with what I have. So price cost in Europe in beverage, we think it's going to be very good in Europe next year.
Operator: Our next question comes from Alton Stump from Longbow Research.
Alton K. Stump - Longbow Research LLC: Just 2 quick ones. One, and I think I might have missed this, I apologize if I did, but did you give the fourth quarter volume number for the U.S. and also for Europe?
Timothy J. Donahue: For which product line?
Alton K. Stump - Longbow Research LLC: Yes, for Bevcan, I'm sorry.
Timothy J. Donahue: For the U.S. -- fourth quarter for the U.S., I think we were down about 0.75% and Europe was fairly flat.
Alton K. Stump - Longbow Research LLC: Got you. And then I just want to -- just a quick question, Tim, just with these acquisitions. Is there any, in your view, accretion coming from those assets this year? And if so, any color on how big that might be?
Timothy J. Donahue: Well, they're both very small, but certainly there's going to be accretion. We didn't buy these just to -- they're not defensive purchases. They're purchases for growing the business in the region, not only now, but in the future. But there'll be some small accretion. But not more than $0.01 or $0.02, I think, until we get the plants improved to where -- to a Crown standard.
Operator: Our next question comes from Mark Wilde with Deutsche Bank.
Mark Wilde - Deutsche Bank AG, Research Division: A couple of questions. First, John, can you just give us a little color on what you saw in North Africa and the Middle East, and what your outlook is in that area into '13?
John W. Conway: Well, generally, and I know it's a great thing -- condition here, generally, demand was pretty strong in the region, in spite of all the political activity and so on. And we think that 2013 will be strong again, particularly in the Gulf. So for us, Jordan, Saudi Arabia and Dubai. We think demand is going to continue to be quite strong, growth continues to be strong. And we were sold out through the region in '12, and we will be again in '13. Business in North Africa in '13 is going to be stronger than it was, for beverage in particular. And we think food also, we've been fairly large, in our terms, anyway, Morocco food business. So we think it's going to -- should be a good year.
Mark Wilde - Deutsche Bank AG, Research Division: Okay. All right. The other question I had is just -- we're continuing to see consolidation in beverage containers, whether it's metal or otherwise. Could we just get your thoughts on what we might think about in the aluminum beverage can, in terms of consolidation going forward?
John W. Conway: Industry consolidation?
Mark Wilde - Deutsche Bank AG, Research Division: Yes, yes.
John W. Conway: Well, Mark, if you think about it, we've got -- we're pretty consolidated in beverage in the Americas, Western hemisphere and in Europe. And the obvious place -- and frankly, our Asia Pacific region x China. China is the place where we have more -- a lot -- huge opportunity, huge growth, and a lot of -- a lot of ambitious companies. So I think, over time, there's going to be an opportunity for consolidation in China, but it's going to take some time.
Operator: The next question comes from Chip Dillon with Vertical Research.
Chip A. Dillon - Vertical Research Partners, LLC: First question is, Tim, you mentioned that the CapEx which is, as you've been mentioning on these calls, would certainly start to come down as your build out hits its peak and beyond. How does 2014 look? I mean, we have these 5 plants coming on, I guess, mostly all in the Far East, in 2013, but we don't have any view, I guess, yet, to 2014. Is that a function of just waiting to see how the markets develop? I know you mentioned it would be quite easy if China continues to grow these mid-double -- 15%, 17% rates for you to put second lines in there. When do you think would be the time you would consider pulling the trigger?
Timothy J. Donahue: Well, as you say, I think we're going to continue review market developments. And as John mentioned, 2 of the primary markets where we've invested heavily over the last several years, Brazil and China, continue to grow. We do have some excess capacity -- or the market has some excess capacity in China that needs to be absorbed. But as John said, Brazil appears that it's going to remain tight. So we'll continue to monitor the situation. I think it's incumbent upon us and the other players in the region to understand each of our own supply-demand dynamics within our organization and our production profile. And I think it's a little early for us to give you any expectation about '14 capital. But at this time, it doesn't feel like we're going to have 5 projects in 2014, but we'll wait to see how it develops.
John W. Conway: I think, adding to that, these beverage cans markets, Europe, of course, but the Middle East, Latin America, Brazil in particular, our Asia Pacific region, are getting bigger and bigger, as you know. So we run along at the same growth rates, 10% to 20%, depending on the market, and capacity additions are going to come naturally. But we're going to be very careful. We continue to think that we have something of a competitive advantage in terms of our speed to which we can install capacity, the cost at which we install capacity, continue to think that having a very large capable equipment building division, which we do, focused on the beverage business, is an advantage. But we're going to be real careful about capital deployment because we obviously want to maintain a supply-demand balance, capacity utilization balance, that results in reasonably good pricing.
Chip A. Dillon - Vertical Research Partners, LLC: Got you. And then as a quick follow-up. As we exit 2013, it seems like, really, with -- that all players in the marketplace are in a very healthy position, including one that, just a few years ago, actually had to raise equity capital. Have you noticed, I guess, a continued sort of discipline in the marketplace, I mean, even compared to maybe a couple of years ago, as you go around the world or had -- we sort of gotten there 2 years ago and it's just sort of steady as she goes?
John W. Conway: I think, you could argue that the industry has become more and more careful about the price cost issues and capital deployment issues. These things go in cycles, so you know, but right now we appear to be in a virtuous cycle.
Operator: And our final question comes from Anthony Pettinari with Citigroup.
Anthony Pettinari - Citigroup Inc, Research Division: Looking at Americas beverage, I was wondering if you could give any color on your utilization rates and maybe how you would describe the broader market. And then, as you look at opportunities to tilt your mix towards specialty or maybe more towards beer, are there any kind of capital investments or footprint changes that you would consider in North America in 2013?
John W. Conway: Yes. Our utilization is well over 90%, so we just essentially have no spare capacity. As far as specialty, we just -- we'll follow the market. I mean, we have, increasingly, customers that think that different shapes, designs, et cetera, will enhance their ability to go to market and we're going to follow them. In terms of beer, our beer business in Latin America is very, very strong, and of course it's grown as a consequence, because of what I discussed earlier about package mix change and underlying growth. North America is very stable. The customers, pretty much all of them, ours included, in beer, have had long-term relationships with their suppliers and we don't anticipate that's going to change.
Anthony Pettinari - Citigroup Inc, Research Division: Okay. That's helpful. And then just, finally, when you look at the kind of return on capital profile for the entire company and opportunities to kind of raise that return over the next 2 to 3 years, is it safe to say that Asia-Pacific presents the most attractive opportunities to raise your return on capital? And then, if that's true beyond Asia-Pacific, are there any businesses or geographies where you think that there's a lot of incremental opportunity over the next 2, 3 years?
John W. Conway: No. I wouldn't single out Asia-Pacific. You may be thinking, as the plants run fuller, naturally, we're going to get much better return, and that's true. But I think we've got an opportunity, frankly, globally. Europe, obviously, we had a very soft year in the steel packaging segments, aerosols, spec pack and food, we mentioned that. We think there's a great opportunity there to improve our returns, margins. We talked about consolidation of beverage globally, we didn't talk about consolidation of food and aerosol and spec pack. Europe is really fertile ground for that. And so we think there's opportunities right around the world. We keep driving out costs. We keep finding that we can reduce overheads, and I don't think that's going to stop. We've got such a big fleet now of plants that's spread globally, a lot of opportunity.
Operator: I'll turn the call back over to the speakers.
Timothy J. Donahue: Thank you very much, Shirley. That concludes the call today. We thank you for listening and ask you to note the first quarter 2013 conference call will be scheduled for April 18th at 9:00 Eastern Time. Bye now.
Operator: And this does conclude today's conference. We thank you for your participation. At this time, you may disconnect your lines.